Operator: Good morning. My name is Colby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2023 Armstrong World Industries Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I’ll now turn the call over to Theresa Womble, Vice President of Investor Relations and Corporate Communications. You may begin.
Theresa Womble: Thank you, Colby, and welcome everyone to our call this morning. On today’s call, Vic Grizzle, our CEO; and Chris Calzaretta, our CFO will discuss Armstrong World Industries third quarter 2023 results and our rest of year outlook. To accompany these remarks, we have provided a presentation that is available on the Investors section of the Armstrong World Industries website. Our discussion of operating and financial performance will include non-GAAP financial measures within the meaning of SEC Reg G. A reconciliation of these measures with the most directly comparable GAAP measures is included in the earnings press release and in the appendix of the presentation issued this morning. Both are available on our website. During the call, we will be making forward-looking statements and these statements represent the view we have of our financial and operational performance as of today’s date, October 24, 2023. These statements involve risks and uncertainties that may differ materially from those expected or implied. We provide a detailed discussion of the risks and uncertainties in our SEC filings, including the 10-Q filed earlier this morning. We take no obligation to update any forward-looking statement beyond what is required by applicable securities law. And now, I’ll turn the call to Vic.
Vic Grizzle: Thank you, Theresa, and good morning, everyone, and thank you all for joining our call this morning. As most of you have seen in our press release this morning, we delivered strong third quarter results. We generated strong sales and earnings growth while still facing weak market conditions that dampened overall demand in both our Mineral Fiber and Architectural Specialties segments. Our results were stronger in the quarter than we expected, largely due to the fact that we did not experience a further deterioration of market activity as initially expected, and due to the outstanding execution by our teams. Now, before we get into more of the details of these results, I’d like to recognize the strong execution by our teams in the quarter and, in fact, throughout the entire year. I appreciate the efforts spent across the company to deliver the highest quality products with the best service levels in our industry, while also successfully implementing our growth initiatives. So, thanks to the entire Armstrong team. For the quarter, total company adjusted EBITDA increased 19% on a 7% increase in net sales. Total company adjusted EBITDA of $125 million marks the highest quarterly result in the history of our business with adjusted EBITDA margin expanding 380 basis points. Both our segments Mineral Fiber and Architectural Specialties reported record setting quarterly sales and earnings with robust margin expansion. These results are truly emblematic of the resilience of our business with a strong market position, a diverse set of end markets and effective growth initiatives, all providing strength and stability to our sales and earnings even when one or two of our verticals are under pressure. Now, taking a closer look at our Mineral Fiber segment, we delivered 7% sales growth and 18% adjusted EBITDA growth. The strong sales results were largely due to better than expected sales volumes, as the anticipated weaker economic backdrop in the second half of 2023 has not materialized. The market we experienced was more similar to what we had seen in the first half of 2023. We also expected a more pronounced reversal in sales volumes in our home center or big box channel given the inventory build earlier in the year. While we did see lower third quarter sales volumes in this channel, it was not at the level expected. Our growth initiatives this quarter continued to gain momentum and contributed 2 points of Mineral Fiber volume growth in the quarter. Much of this was driven by our initiatives designed to drive more renovation activity, with the highlight in the quarter being our digital initiative Canopy by Armstrong. Third quarter sales through the platform more than doubled from prior year levels, and for the first time since the platform launched Canopy was a positive contributor to EBITDA growth. This is an exciting milestone for this important growth initiative. As a reminder, what we’re driving for with the Canopy platform is a cost effective way to access the 60% of the installed base of Mineral Fiber ceilings that need renovating, but whose decision makers have limited access to knowhow and solutions to get it done. Canopy offers these customers an easy-to-use platform and creates awareness on our broad assortment of products and solutions. What’s particularly encouraging thus far is how Canopy is attracting a new and different set of customers to Armstrong and that the base of repeat customers continues to grow. Project works our automated design service also continues to gain traction and is strengthening our project specifications with products at the high end of our portfolio contributing to our strong AUV performance. The number of projects through this platform continues to grow and our win rate on these projects continues to be meaningfully higher than our overall average win rate. Adding to both incremental volume and average unit value growth, now on that note, our AUV continues to be a highlight. AUV growth of 8% this quarter was driven by favorable pricing as well as positive mix. We continue to innovate better ways to improve our service, customers, to earn our prices and the consistent mix contribution to AUV underscores our ongoing focus on delivering new product innovation, which fuels the product mix that we realize. All these factors, strong AUV growth, moderating inflation, strong contribution from growth initiatives, and improvement in earnings through our WAVE joint venture led to a Mineral Fiber adjusted EBITDA margin of nearly 42% a quarter, well on its way back to 2019 levels. Our Architectural Specialties segment also delivered a strong quarter with record setting sales and earnings. Adjusted EBITDA for the segment grew 30% versus the prior year third quarter, and adjusted EBITDA margin exceeded 20%. We delivered these results due to continued revenue growth along with better operating leverage. I’m proud of the work this team is doing to get this business back to the 20% level, and in particular with our AS plants for their strong operational performance this quarter in terms of on time deliveries and low claims rates. We’re also pleased with the addition of BOK Modern to our Architectural Specialties segment, which is included in our results for the first time this quarter. This acquisition is adding more capabilities to Armstrong and is opening new opportunities for sales in new spaces. In terms of overall market activity in the Architectural Specialties segment, quoting activity continued to be positive, however less positive than we saw in the first half. We also experienced some choppiness in the order activity with some new orders being delayed. Although, we’re seeing some increase in delays of project awards, we have not experienced project cancellations. We continue to see strength in transportation, particularly in airports and large municipal projects like convention centers. These are often larger projects and can be subject to delays given their complexity. So we are continually and carefully monitoring shifting schedules and overall project activity in this important segment. Before turning the call over to Chris for some more financial details, I wanted to take a moment to highlight an internal investment we’ve brought online in the quarter. It’s to expand our capacity and capabilities within our Architectural Specialties metal category. Metal has been a growth area for us over the last several years, and you’ve seen us active in acquisitions and unique metal – with unique metal design and production capabilities, including Arktura and Moz in 2020 and most recently BOK Modern. One of our earlier acquisitions in metal was Steel Ceilings in Johnstown, Ohio, back in 2018 that primarily produces our metal works product line today. Because of our growth in metal overall and the centralized location of Johnstown, we’ve invested approximately $15 million over the last two years to expand the capability and capacity of this location. These investments include new equipment that allow us to broaden our capabilities and to be more efficient. With these investments, we will significantly advance our finishing capability and expect to be able to triple the production capacity of this site, while also significantly reducing lead times. The work we’ve done there, as well as through our acquisitions uniquely positions Armstrong to win larger projects and overall higher value business in the metal category. And frankly, the timing could not be better with the infrastructure bill and the increase in transportation projects. I’ll come back in a moment for some more details, but Chris, over to you for the financials.
Chris Calzaretta: Thanks, Vic, and good morning to everyone on the call. As a reminder, throughout my remarks, I’ll be referring to the slides available on our website and Slide 3, which details our basis of presentation. On Slide 6, we discuss our quarterly Mineral Fiber segment results. Mineral Fiber sales growth of 7% was driven by strong AUV partially offset by lower volumes. AUV performance was driven by like-for-like pricing along with favorable mix. The positive mix benefit in the quarter was driven by channel mix. This strong AUV result marks another solid quarter of execution by our teams, and we remain on track to deliver AUV growth for the full year above our historical average of 5%. The decrease in Mineral Fiber volumes during the quarter was driven by overall softer market demand, the impact of one less shipping day, and lower sales volumes within our Latin America channel partially offset by the incremental contribution from our growth initiatives. While third quarter Mineral Fiber volumes were lower than prior year, they were well ahead of our expectations. As Vic mentioned, the two drivers were a better than expected market and timing within our home center customer channel. Mineral Fiber segment adjusted EBITDA grew by $16 million or 18% to a record setting $105 million, and adjusted EBITDA margin expanded by 380 basis points. Driving this gain in margin expansion was AUV fall-through to EBITDA and lower input costs. While raw materials remain inflationary, tailwinds from energy and freight deflation provided a benefit as we lapped a prior year period that saw double-digit input cost inflation. Input costs this quarter also benefited from favorable inventory valuation impacts related to timing of input costs flowing through the P&L. Recall that in the first quarter of 2023, we had a $6 million headwind from unfavorable inventory valuations. The positive impact in Q3 is part of a reversal of that headwind as input costs moderate. SG&A in the quarter increased $3 million versus the prior year, primarily due to an increase in selling expense and an increase in incentive compensation, where we lapped a benefit in the prior year quarter. As we outlook in our Q2 call, the year-over-year gain from WAVE equity earnings was more modest as compared to the first half of the year. The third quarter WAVE equity earnings gain was driven by lower steel costs and higher volumes, partially offset by lower AUV. On Slide 7, we discuss our Architectural Specialties or AS segment results, which are highlighted by record setting sales and adjusted EBITDA of nearly $100 million and $20 million, respectively. Adjusted EBITDA margins expanded 370 basis points versus the prior year and above our minimum target of 20%. While we continue to see solid organic growth in the quarter, we were also pleased to see recent acquisitions, notably BOK Modern, which we acquired in July contribute to our overall incremental sales growth, another bright spot for AS was improved operating leverage. We continue to remain focused on leveraging SG&A as we grow the business, which is an important part of our path back to our minimum target of 20% EBITDA margins. And as always, we closely monitor project delays, which can cause choppiness quarter-to-quarter. Slide 8 shows our third quarter consolidated company metrics, where benefits from improved AUV, higher volumes, and lower input costs more than offset higher SG&A expense. Consolidated adjusted EBITDA margin expanded 380 basis points with adjusted EBITDA up 19%. Adjusted diluted earnings per share increased 18% versus the prior year and adjusted free cash flow increased $26 million or 39% versus the prior year. Slide 9 highlights our year-to-date consolidated company metrics, where we grew adjusted EBITDA by 13% and expanded margins 220 basis points. These results are driven by the continued execution by our teams despite market headwinds. Adjusted diluted earnings per share increased 12% versus the prior year period and adjusted free cash flow increased $65 million or 50% versus the prior year. We’re well on our way to doing what we said we would do this year, which is to expand margins and grow adjusted free cash flow in a down market. Slide 10 shows our year-to-date adjusted free cash flow performance versus the prior year. The increase was driven by working capital improvement, an increase in WAVE dividends, and higher cash earnings. This was partially offset by higher CapEx and higher cash interest. This year-to-date cash flow generation demonstrates our ability to consistently drive free cash flow growth despite challenging conditions and to deploy that cash to generate returns for the company through our capital allocation priorities. Our first capital allocation priority remains investing back into our business, where we see the highest returns. Next, we target strategic acquisitions that offer unique specifiable attributes and capabilities that leverage the strength of our businesses. Third, we seek to return excess cash to shareholders. In the third quarter, we repurchased $40 million of shares and since the inception of our share repurchase program in 2016, we have repurchased a total of 13.7 million shares for about $948 million. After increasing our share repurchase authorization in July, we ended the third quarter with $752 million remaining under the existing authorization. And last week, we announced a 10% increase to our quarterly dividend, displaying continued confidence in our ability to generate cash over the long-term and further demonstrating our commitment to returning cash to shareholders. Slide 11 shows our updated full year guidance. We have improved our outlook for all key metrics based on a better than expected market. We have narrowed the range for net sales and increased the midpoint slightly. We have also increase the midpoints for adjusted EBITDA, adjusted diluted EPS, and adjusted free cash flow. Given our year-to-date performance and outlook for the fourth quarter, we now expect improved full year profitability for the company. The changes in our assumptions are in the appendix of this presentation. And now I’ll turn it back to Vic for further comments before we take your questions.
Vic Grizzle: Thanks, Chris. Before we get to your questions, I’d like to take a moment and provide some additional context on the overall market backdrop, impacting both of our segments. As I mentioned earlier, in the back half of the year, we expected a lower level of economic activity to drive further deterioration of underlying market demand, namely on the renovation side. Instead, market demand appears to have stabilized at this lower level in the back half of the year. We continue to believe that the market weakness is mainly impacting discretionary spending on renovation and replacement activity, and primarily in the office vertical. Overall demand remains pressured by interest rate uncertainty, low office leasing activity, which creates the churn leading to renovation events and broader overall economic uncertainty. But as we’ve reported, our business serves a wide range of vertical markets and project types. Education, with government funding support and healthcare were both positive in the quarter. These are helping to offset continued office weakness. In addition, as we outlook earlier this year, new construction starts from late 2021 and throughout 2022 contributed positively in the quarter. In consideration of more recent data, the data overall remains mixed. Dodge starts and bidding activity across many of the verticals has moved in and out of positive territory. Good funding conditions remain for education, healthcare and transportation. And in office, although, financial headwinds persist, the demand side of office appears to be stabilizing with growth in office employment continuing, more back to office mandates and less subleasing activity. So even though our view on the market has modestly improved for 2023, there does remain a healthy level of uncertainty and concerns on the macroeconomic level. With that said, our strong results against these weaker market conditions are demonstrating the strength and the resilience of our business model and the strategy being deployed. And as outlined by Chris, our business is generating strong cash flow that allows us to fund all our capital allocation priorities, again, in all parts of the cycle. The strength and the resilience of our business is driven by the unique core attributes of our business. And these include the strength of our market position and a uniquely attractive building product category where scale, service and innovation matter, supported by an industry leading position with the A&D community that positions us well to innovate and to win more specifications than the others. The attributes of the strength of our business in terms of the best-in-class distribution and we have the best-in-class distribution partners who are as passionate about the ceilings category as we are and lead the industry with their ability to consistently serve job sites. The stabilizing factor of having a balanced diverse set of end markets that rarely all move up or down at the same time. And because of these strengths, the unique ability we have to deliver consistent AUV growth and manufacturing productivity, again, even in down cycles. It’s these attributes and building blocks of our business that differentiate us in our industry and give us the confidence that we can grow revenue and expand profit margins in all parts of the cycle. So as we go forward, we will remain focused and committed to these core value drivers and to delivering profitable growth next year and beyond. With those comments, we’ll be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Susan Maklari from Goldman Sachs. Your line is open.
Susan Maklari: Thank you. Good morning, everyone, and congrats on a great quarter.
Vic Grizzle: Thank you, Susan.
Chris Calzaretta: Thanks, Susan.
Susan Maklari: Yes. My first question is, talking a bit about demand. Vic, in your comments you mentioned some delays that you’re seeing in some of the projects out there, also the discretionary side, especially in office, that continues to stay weak. I guess, when you think about what is driving that. What do you think needs to change in order to see us turn the corners there and what are some of the things you’re watching for?
Vic Grizzle: Yes. I think overall, I think the level of uncertainty remains in the marketplace. Even though, the uncertainty was driving a lot of the back half expectations for softer economic conditions that didn’t materialize. I still think given the geopolitical issues and I think interest rates, there’s still some uncertainty around their overall impact on the economy. And I think that gives especially in the discretionary area of renovation work, I still think there’s some pause there and I think that has to clear up before we can kind of get back to business with this discretionary renovation activity. On your first comment, with regards to some of the delays, speaking really to the Architectural Specialties side of the business, as we’ve talked about many times on this call, the Architectural Specialties business being so project intensive can have some ebbs and flows quarter-to-quarter. And as we get larger and larger projects in our backlogs, namely these airport projects, for example, a little bit of delay in some of those projects can really influence the quarter-to-quarter ebbs and flows. And that’s, I think, what we’re seeing and I was highlighting in terms of the overall activity and some of the project delays, some of those can move our numbers quarter-to-quarter. But overall, we’re so well positioned in that space. We’re really excited about the Transportation segment overall.
Susan Maklari: Okay, that’s helpful color. And as a follow-up, you saw a very nice lift in the Architectural Specialties margin this quarter. Clearly, kind of getting on a quarterly basis closer to that longer term guide that you’ve given us, how do you think about the sustainability of the improvement that you’ve seen? And any thoughts on the path forward from here?
Vic Grizzle: Yes. Susan, we’re pleased, but we’re not surprised, right? The team has been working very hard on the right levers to pull to improve, namely the operating leverage. And it’s inside the plants. It’s the area outside of the plants, but as I called out in my prepared remarks, I’m really pleased with what our plants are doing to drive efficiencies and productivity. The operating leverage that we’re getting on the SG&A side is also notable. I think they’re pulling all the right levers, they’re executing, again, we’re very pleased with that case [ph]. We’re not surprised with their execution. And I think this is sustainable. As we go forward, we’re going to continue to work those levers around good productivity in the plants, getting the operating leverage on our investments that we’ve been making over the last year or so in this business. We believe we’re well on our way back to that 20% minimum target.
Susan Maklari: Okay. All right. Thanks for all the color and good luck.
Vic Grizzle: You bet. Thank you.
Operator: Your next question comes from the line of Garik Shmois from Loop Capital Markets. Your line is open.
Garik Shmois: Hi thanks and congrats on the nice quarter. Wanted to ask first, with respect to the volumes in Mineral Fiber, and I think you saw benefits at home center. Just curious as to what drove that. I think you were expecting some destocking. It doesn’t seem like that occurred. But maybe if you could talk to sell-in versus sell-through and some of the underlying trends that you’re hearing about there?
Vic Grizzle: Yes. On the home center, very specifically, the – which is our big box channel that we often talk about how that ebbs and flows quarter-to-quarter, right, with their drawdown on inventory and the buildup of inventory. And there was a pretty noticeable inventory build around some new products that we were gearing the stores up for resetting of inventory around some of these new products that, again, we were very open about that in the first half and there was some strong inventory build behind that. And when you look at the point-of-sale data, and they share their point-of-sale data with us, you can see that the point-of-sale data was mimicking pretty much what we were seeing in the overall market. And so this is a pretty good buy ahead of demand, and we expected that to be coming out, and they expected more of that to be coming out in the back half as they got up and running in their stores. So it didn’t come out as fast. I don’t think any of us expected the market conditions that we saw in the third quarter, and we’re seeing in the back half that might have slowed down some of their intentional drawdown. That’s really for them, I think, probably to answer better than me. But overall, we did not see the drawdown in inventory at the same level we expected. What we are out looking is that they still intend to do that, and we expect that – more of that to come out in the fourth quarter. And you’ll see that in sort of our fourth quarter expectations. So did I get to your question there? Does that answer your question?
Garik Shmois: Yes, you did. No, that’s helpful. Thank you. And then I just wanted to ask on – I think you called out, if I heard it correctly, about two points of volume growth due to some of your growth initiatives that you said Canopy in particular. Curious as to maybe how sustainable this type of growth, maybe not pinning you to do 100 basis points per quarter, but should we expect some noticeable volume growth from some of these initiatives on a go-forward basis?
Vic Grizzle: Well, I think we outlooked – we reported 2% contribution to our volume growth in the quarter. We have been talking about a 1% to 2% contribution. So I believe we’re right in that range of what we expect on an ongoing basis in terms of contribution from these initiatives. I’d like to mention that healthy space has also contributed. We had a terrific quarter on the Canopy platform. That team is doing a terrific job turning it profitable. But also in our healthy space initiative, we continue to have positive contribution from our Healthy Spaces initiative. And our overall activity to help stimulate more renovation events in this large installed base that largely needs renovated. We’re trying to make – give them the catalysts and the reasons to do it in an easy way to get it done. So, I think we’re going to continue to see one point to two points of contribution from these growth initiatives going forward.
Garik Shmois: Got it. Thanks again.
Vic Grizzle: Yes. Thank you.
Operator: Your next question comes from the line of Keith Hughes from Truist. Your line is open.
Keith Hughes: Thank you. A question on the fourth quarter is kind of the implied guide. There’s going to be a little bit of weakness in EBITDA at the midpoint. Can you talk about what’s going to be the makeup on the fourth quarter, how it’s going to trend?
Chris Calzaretta: Yes, Keith, I’ll take that. This is Chris. Yes, if you look – you can kind of see the implied fourth quarter volume, again that’s really driven by – relative to our previous expectations. It’s a little better market. But also, as Vic mentioned, some of that retail home center volume that we expected to come out earlier this year. We’ve got that pegged to come out in the fourth quarter, which is really contributing to that year-over-year volume decline in the fourth quarter. And then also, if you look at kind of how we’ve thought through and modeled some of the assumptions with SG&A. There’s a little bit of a heavier SG&A comp compared to the prior year due to some promotional spending that we have on some new product launches as well as higher incentive comp where we’re lapping a softer base period there due to some benefits that were taken in the prior year period. So just a couple of points of input there as I think about the fourth quarter. The other piece maybe to mention is on the AS side, a little bit softer AS finish to the year due to anticipated project delays, which again can be choppy from time to time.
Keith Hughes: Okay. And then what about input costs in Mineral Fiber, I know it was a positive in this quarter. What are you thinking full for?
Chris Calzaretta: Yes. So better-than-expected freight and energy costs there, so some deflation there. Raws were about as expected. I’d say, looking forward, on a full year basis, we’re now out looking for total input costs about flattish, so maybe some slight inflation there versus prior year in percentage terms with raw materials in that high single-digit range.
Keith Hughes: Okay. Thank you.
Chris Calzaretta: You’re welcome. Thanks, Keith.
Vic Grizzle: Thanks, Keith.
Operator: Your next question comes from the line of Phil Ng from Jefferies. Your line is open.
Phil Ng: Hi Vic, congrats on a really strong quarter. And then the commentary on office was pretty constructive about at least you’re seeing some signs it’s starting to stabilize. You gave us some great color in terms of bidding, quoting activity on AS. Any color on what you’re seeing on those same KPIs for your Mineral Fiber business? Should we kind of assume that things are starting to stabilize and you can get back to trend line from a growth standpoint in 2024? Or there’s still some risk it could route [ph] base lower?
Vic Grizzle: Overall bidding activity was fairly consistent with what we saw in 2Q, still slightly down from a year ago. And then by vertical, again, kind of moving quarter-to-quarter in and out of positive negative territory. So not some big numbers one way or the other. I kind of look at those numbers as within the margins as directional. So renovation being still the drag on overall bidding activity with new construction being fairly positive. So, I don’t know, it just feels like, Phil, that even the bidding activity seems to be kind of bouncing along a new bottom here, if you will, that feels fairly sideways moving, if you will. So, I think that’s overall for the business. That’s kind of what I can see in the numbers.
Phil Ng: And Vic, can you remind us how big is your more discretionary rental piece in terms of overall volumes for Mineral Fiber?
Vic Grizzle: Well, rental is 70% of our business, 30% is in the new area. And then of that rental, you can – of that 70%, you can split it half and half as larger renovation projects versus more patch and match, if you will, type projects. There’s discretionary elements of both of those. So certainly, people who can wait as we talked about last year, are waiting, and I think we continue to see some of that. Although as time goes and some of the uncertainty clears up for certain parts of the market, such as healthcare and education we’re seeing some of those delayed projects come back into the marketplace. So it’s going to continue to ebb and flow, again, it feels like there’s some stabilization here in terms of the directional. It’s not getting better, it just – it didn’t get worse. I think again, I think that’s consistent within the overall bidding and quoting activity that we’re seeing.
Phil Ng: Okay. That makes perfect sense. And then, Vic, I appreciate the great color you guys provided on some of that home center dynamic. But I understand one of your competitors had operational issues on the mineral fiber set for a higher value product. Was that an opportunity for you to pick up some share during the quarter? And how do you kind of see that transpiring over the course of the year?
Vic Grizzle: Yes. We’re aware of the issue you’re talking about. And we did get calls. We were able to help some of their customers out in the short term. If it wasn’t material and it’s not material in terms of any share shifts go – share moves in this industry over time. So not material really in the quarter, nor do we expect this to be a continuing share move for the rest of the year.
Phil Ng: Okay. Appreciate the color. Thank you.
Vic Grizzle: Yes. You bet.
Operator: Your next question comes from the line of Rafe Jadrosich from Bank of America. Your line is open.
Rafe Jadrosich: Hi good morning. Thanks for taking my question. It’s Rafe. Can you just break out what the inventory revaluation impact was in the third quarter? And is there any impact anticipated for in the fourth quarter guidance?
Chris Calzaretta: Hey, Rafe, it’s Chris. Yes, yes, we don’t call out the inventory valve impact there in the quarter. But as I said in my prepared remarks, given the fact that input costs and material, raw materials have moderated a bit as compared to their previous levels. You see the benefit of that flowing through the P&L by way of what we call inventory valves. So we’ve picked up and recouped a bit of the headwind that we experienced earlier this year. There’s an assumed benefit in the fourth quarter. And we’re going to be pretty close just shy of the full year headwind that we saw in the first half kind of coming close to offsetting within the year. So hopefully, that adds a little bit of context. If raws moderate even further, that could potentially drive some additional tailwind there. But that’s the dynamic and how that works. It’s not a write-off of inventory. Again, it’s just the timing of inflation rolling through the income statement.
Rafe Jadrosich: Got it. And the first half was $6 million of impact of a headwind?
Chris Calzaretta: Yes, the first quarter was $6 million. 
Rafe Jadrosich: Got it. Okay. That’s helpful. And then just in the fourth quarter guidance implies a deterioration in Mineral Fiber volume growth versus the 2019 level, compared to the third quarter. And we’re not losing a selling day year-over-year in the fourth quarter. The guidance sort of implies actually worse year-over-year growth despite the easiest comp. Does the guidance still assume deterioration in economic activity from here? What are you seeing kind of 3Q to date and sort of what’s implied in that guidance from an end demand outlook.
Chris Calzaretta: Yes. Sure. So it assumes a market that’s down called in that low single-digit range, which is pretty consistent with what we’ve seen throughout the course of this year. And then as Vic and I both mentioned, it assumes that retail, call it home center volume coming out in the fourth quarter. So that’s really the top line. And then as it pertains to EBITDA, again, a little bit heavier SG&A as we’re lapping a period where we saw some benefits on incentive comp last year, higher incentive comp this year and then a little bit of promotional spend associated with some new product launches, which drives that kind of that EBITDA walk for you.
Rafe Jadrosich: Great. Thank you. Very helpful.
Chris Calzaretta: You’re welcome.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group. Your line is open. 
Kathryn Thompson: Hey, thanks for taking my question today. Just one on the JV did a little bit better than expectations and understanding, I just want to get a little bit of better understanding of the driver for that? And in particular, are there any new growth initiatives within the JV that are really finally contributing to the overall earnings.
Vic Grizzle: Yes. Very similar, I think, to our Mineral Fiber business, Kathryn, the market backdrop, the volume was better than expected. I think that was a nice contributor, but they’re doing a nice job in continuing to manage their steel purchases and their steel inventory levels and the pricing around that to make sure that we’re driving margins back to where they need to be. The team is doing a good job overall operationally, contributing to that. So I think it’s those building blocks probably in an outsized way, just a better market backdrop than that was initially expected.
Kathryn Thompson: Okay, and thanks for that. And then I know you touched on this, but I just want to pull string a little bit more on this. You talked about just a better end market mix contributing to – especially to Mineral Fiber. How easy or difficult, given the current market conditions, is it to do that? And then also how do you – how does one differentiate and not necessarily on the tile side, but just kind of the combination of what you’re able to provide. How has that contributed to overall a little bit better performance other than just the broad market which you’ve touched on?
Vic Grizzle: I don’t sure understand your question. Are you talking about. I’m sorry, go ahead. 
Kathryn Thompson: Well, really, how easy or difficult is it to shift your end market mix? End market mix. And how easy is that? Or is it just like to draw like mix for the end market just happened to be better? Or is this more a concerted effort on your end?
Vic Grizzle: Well, we’re present with the architects that are driving all of these end market specifications. So we can support the architects where they have the work and where they have the business. And again, that’s a really important asset of ours is to have this presence in the architectural community because their workload shifts based on the market activity and we’re connected to them at the hip and making sure that we’re supporting on those types of projects. So I’d say it’s fairly easy for us to move where the market activity is going because of our presence and our strong seat at the table with the architects.
Kathryn Thompson: Okay, great. Thanks very much.
Vic Grizzle: You bet.
Operator: Your next question comes from the line of John Lovallo from UBS. Your line is open. 
John Lovallo: Good morning, guys. Thank you for taking my questions as well. I guess the first one, Vic, you talked about maybe a little bit of choppiness in the market, some stabilization in certain markets. But if we think about on the Mineral Fiber side, the 2% to 4% volume target through 2026. Any updated thoughts there on the ability to achieve that?
Vic Grizzle: Well, I think the building blocks are still there. You’re referring to the 2% to 4% longer-term growth rate in Mineral Fiber; remember the building blocks there were a market recovery back to 2019 levels and then one to two points of contribution from our growth initiatives. Again, we still expect there’s nothing structurally change to the point that we don’t think we’re going to get back to 2019 volume levels. And as we’ve reported in this quarter, we’re getting some nice contribution to the high end of that one to two point range for our growth initiatives. So my thoughts, and we’re not in a position to change that outlook at this point. It may get pushed out some depending on when the market recovery becomes part of that equation. But all the building blocks, John, are still there for us to get back to a 2% to 4% Mineral Fiber growth level.
John Lovallo: Okay. That’s helpful. And then when we think about Canopy and the higher win rate that you’re experiencing there, curious what do you think is driving that? I mean, I guess a couple of questions. How sustainable do you think it is? Who are you competing against? And is it really just that underserved as a market where there’s this longer-term runway?
Vic Grizzle: Yes. No, I think on the Canopy platform, we’re demonstrating that there is an underserved customer out there that doesn’t know where to go to get their ceiling tiles renovated and frankly, they think it’s very expensive to do. They’re finding out that it’s not that hard to do or giving them a place to go and to transact. And so – and the type of customers that are coming to this site and buying from us are not typical Armstrong customers. These are customers that don’t know Armstrong for the most part and don’t know where to go to get ceiling tiles. And we’re creating this cost-effective way to reach out, educate them, make them aware and help them get this done in a very easy way. It’s kind of the easy button, if you will, is the Canopy by Armstrong platform.  Your reference to the win rate is more with our project works, my comments around project works. We’re adding value here to these designs that architects are developing. We’re helping them to iterate more productively, they can do this in a matter of days versus weeks. And we’re strengthening our ability to – strengthen the specification, if you will, and that’s improving our win rate on projects as they go through the channels, from the GCs to the contractors, all the way down through distribution. So that was my reference is we’re adding value here. We’re driving incremental both volume and AUV growth through this value-added service. And our traction in the A&D community is continuing to grow. So we’re in the early innings of this, but we’re really encouraged by the incrementality of such an automated design tool.
John Lovallo: Understood. Thank you very much.
Vic Grizzle: Thank you, John.
Operator: Your final question comes from the line of Adam Baumgarten from Zelman & Associates. Your line is open.
Adam Baumgarten: Hey, good morning, everyone. Just curious on the volume trends across the product suite, Mineral Fiber throughout the quarter. Anywhere where it is particularly strong or weak across either high or low end or kind of mid-range type products? And then just on mix within the segment, was that a more impactful positive this quarter versus maybe the prior few quarters?
Vic Grizzle: Yes, it’s a good question. Our product mix continues to be positive. The growth at the higher end of the market continues to be greater than at the lower end of the market. Again, renovation activity, people want to put in the newest stuff when they renovate. So there’s a natural draw at the higher end of our portfolio. And the rate of innovation and new product introduction is at its highest level. And we’re – that innovation is getting pulled and specked by the architects and then that continues to help drive a richer mix at the higher end of the portfolio. That’s been going on for a number of years. And it’s materializing also in this year. And as we’ve seen in past downturns and garden variety type recessions is that we continue to grow at the high end faster than at the low end. And therefore, this supports growing your AUV even in a down market in a down cycle. And that’s – I think that’s on full display here in 2023. 
Adam Baumgarten: Got it. Okay. Thanks. And then just if we think about just the volume growth or the modest volume declines in the quarter, how do you think that stacks up versus maybe the industry? And do you think you gained share in the quarter or kind of just grew with the market for the most part.
Vic Grizzle: Well, I think the market is down low single digits as we were talking about consistent with what we’ve seen in the rest. I think the difference is our growth initiatives. And if you really carefully our growth initiatives are about growing the size of the pie by accelerating the rate of renovation, creating more renovation events that are just kind of late and sitting there. So I think we’re ahead and we’re able to capture more of that renovation here in the short term as we create it. So I would just put it in that bucket in terms of where the growth is coming from, offsetting some of the market weakness that we see. 
Adam Baumgarten: Okay. Got it. Thanks. Best of luck.
Vic Grizzle: Thank you.
Operator: There are no further questions. I’ll now turn the call back over to Vic Grizzle, President and CEO, for closing remarks.
Vic Grizzle: Thank you. Just to close real quickly here, we’re very pleased obviously with our results in the third quarter. I think we’re particularly pleased that we could demonstrate the resilience and the strength of our business model in a more garden variety like downturn that we’re experiencing in 2023. It’s a testament to all of our employees that are working very hard and diligently on executing our strategy. And again, we’re very pleased with being able to demonstrate that. And to finish the year strong to have a full year to demonstrate the resilience and strength of our business. Thank you all for joining this morning and our call. Thank you for your questions. 
Operator: This concludes today’s conference call. You may now disconnect.